Operator: Ladies and gentlemen, thank you for standing by and welcome to the Duke Realty Quarterly Earnings Conference Call. At this time, all lines are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, today’s conference is being recorded. I would now like to turn the conference over to your host, Executive Vice President and Chief Financial Officer, Christie Kelly. Please go ahead, sir.
Christie Kelly: Thank you. Good afternoon, everyone, and welcome to our second quarter earnings call. Joining me today are Denny Oklak, Chairman and Chief Executive Officer and Mark Denien, Chief Accounting Officer. Before we make our prepared remarks, let me remind you that the statements we make today are subject to certain risks and uncertainties that could cause actual results to differ materially from expectations. For more information about those risk factors, we would refer you to our December 31, 2010 10-K that we have on file with the SEC. And now for our prepared statement, I’ll turn it over to Denny Oklak.
Dennis Oklak: Thank you, Christy. Good afternoon everyone. Today I will highlight some of our key accomplishments during the quarter in both our assets and operational strategies. Christie will then address our second quarter financial performance and progress on our capital strategy. We finished this quarter with a solid month in June making it an excellent operational quarter overall. The performance is primarily driven by a strong leasing activity across several markets particularly on the bulk industrial side. The completion of Premier portfolio acquisition in South Florida in our office joint venture transaction with CBRE Realty Trust nearly ended the first quarter provide significant momentum for us on our asset repositioning strategy. While the second quarter was a little slower on the acquisition and disposition front, I’m pleased with our continued progress and repositioning in the second quarter. From a macroeconomic perspective most of the news continues to be somewhat negative. Job growth is slowing, GDP growth is below earlier projections and uncertainty continues in many areas. These factors are affecting our business but there is also some positive news. Net absorption was again positive for the industrial sector nationally during the second quarter. Vacancies continued to decline in most markets across the country. New to government starts remain at historic lows but there is some talk of limited new to government occurring later this year. Overall, this sector continues to improve and the trend for the rest of the year appears positive. The office business continue to be challenging but there are also some positive signs. Overall, our rents are holding are beginning to improve slightly as indicated by our positive rent spread this quarter. We are seeing more customers being active but this is still going to be a slow haul for the suburban office recovery in most markets. From a Duke Realty perspective, I’m very pleased to report that we were actually able to improve many of our key operating metrics during the quarter. Total portfolio occupancy increased to 89.3%, which is our highest level since early 2005. Our in-service occupancy of 89.2% is the highest since 2007. As I noted on our last couple of calls, we are aware of the few large terminations in our industrial portfolio in the first half of the year. Many of these expirations occurred during the second quarter but new activity was solid as we signed over 4.6 million square feet of new leases this quarter. In total, we signed over 8.1 million square feet of leases including renewals, which is our best quarter of total leasing activity ever if you exclude leasing and new development projects. We renewed 61% of our leases during the quarter. This tenant retention rate was low by our normal standards but as I mentioned many of these spaces were back filled with new tenants and overall we had an occupancy increase. We experienced a 1.6% roll down in net effective rents overall most of – with most of the roll down coming in the industrial renewals. Keep in mind that many of these leases that are rolling now were signed at the peak of the market in 2006 and 2007. We expect rent spreads continue to be challenging for the rest of the year but we believe you will see traction in rates on the industrial side as vacancy rates continue to decline. We also achieved positive same-property NOI for the three and 12 months ended June 30th of 0.5% and 1.5% respectively. These positive results were driven by increases in occupancy and the burn-off of some free rent. Now let me touch on some of the key activity within each product type for the quarter. As I noted industrial seems to be picking up across most markets. This seems to be especially true of larger modern big box spaces, which bolds well for us. This was evident in the fact that we completed over four million square feet of new industrial leases. We were able to increase our industrial portfolio occupancy to 90.6% as of June 30th; some of our larger deals this quarter included a 405,000 square foot lease in Atlanta to substantially back-fill a portion of our another tenant that expired this quarter. A 551,000 square foot lease in Chicago to take an entire building that had been occupied by another tenant on a month-to-month basis. A 263,000 square foot lease with a tenant in Dallas our Point West VI building and two long-term leases in St. Louis totaling 238,000 square feet. The office leasing environment remained slow as we expected. Office leasing always like industrial and we continue to believe we’ll not see a noticeable improvement until we see a greater broad based job growth. We were able to maintain our office occupancy at 85.4%. We were also able to renew 84% of our office spaces and actually achieved a positive growth in that effective rents. Along with several key renewals we signed some of our larger new office leases included an 80,000 square foot expansion for a tenant in Cincinnati, 30,000 square foot lease with the GSA in Cleveland and the 34,000 square foot lease in, in the 3630 Peachtree project in Atlanta, which is now 45% leased. On the medical office front leasing activity and development opportunities continued to gain traction, our medical office portfolio occupancy increased to 85.9% as of June 30th and we expect to start several new development projects yet this year. I’m pleased to report that leasing momentum is continuing into the third quarter. In July we signed a 450,000 square foot bulk industrial lease in Nashville. This space have been vacant for sometime and takes our Nashville occupancy to over 95%. Now our total progress on our asset strategy. From an acquisition perspective pricing on most deals that we have pursued has been aggressive, as cap rates for high quality, industrial assets remained low. We’re continuing to stay true to our strategy and remain patient and disciplined with regard to acquisitions. Our sense is that industrial cap rates are bottoming in the 6% to 6.5% range in most major distribution markets and even slightly lower than that in a few. We acquired over a $116 million of the properties during the second quarter, almost all which were flat to bulk industrial buildings in key distribution markets. These acquisitions included the final three industrial buildings from the Premier acquisition in South Florida. We also acquired a 323 square foot industrial building located in suburban Los Angeles that is 100% lease to a single tenant. This building represents our operating asset in the Southern California market. As you know cap rates were low in Southern California and our pricing on this asset was in the low 5% range but this is really a great asset. Properties fully leads to a single tenant it is located in the south based submarket only 12 miles from the port and is one of only seven buildings over 300,000 square feet in this submarket. The occupancy in all of these buildings is 100% and it’s over 95% in the entire submarket. We also acquired two portion leased new with the stress bulk assets. One is Phoenix and one in Savannah. We’re optimistic about our chances to lease remaining portion of these buildings quickly as positive net absorption has been strong in Phoenix and the port of Savannah is operating at record levels. These acquisitions further are repositioning strategy. Compared to the last few quarters our disposition activity this quarter was a little light. We generated 58 million of proceeds from the disposition of six properties. We are seeing stronger demand for our dispositions as a financing markets improved and we continue to have confident and ability to continue the reduction of our suburban office investment. On the new development front, activity remains somewhat slow, we’ve had a number of discussions occurring on bulk industrial build to suit opportunities and on campus MOBs but these projects are taking a long time to negotiated and commence as our customers navigate the economic and legislative uncertainties. As we previously noted we are not really looking at spec development but there are a couple of markets where we believe there will be some speculative starts in the second half of the year on the bulk industrial side. These include some submarkets in Southern California and in Houston. The real question on new spec development today is going to be one of the projected yields based on the trust market rental ways. So overall we’re very pleased with our second quarter. And now I’ll turn the call over to Christie.
Christie Kelly: Thanks Dennis and good afternoon everyone. As Denny mentioned I’d like to provide an update on our second quarter financial performance and progress on our capital strategy. I’m pleased to report that our second quarter 2011 core FFO was $0.29 per share a penny per share above the first quarter. Our core earnings from rental operations remained stable, even as we continue repositioning our asset mix. The strong leasing activity that Denny touched on earlier is a key driver of the current stability and future growth in our core earnings from rental operations. Our service operations continue to produce strong results driven in large part from the progress on the BRAC project in Washington D.C. which is moving to completion later this year. We also had a strong backlog of projects by the service operations business a few of which discussed already this quarter. We continue to focus on our overall operating results and the capital expenditures necessary to grow our business. For the quarter, our AFFO per share was $0.22 which translates into a conservative payout ratio 77% and our year-to-date payout ratio its slightly 83%. On the capital transaction side, we continued to have success matching our distribution proceeds with our capital needs for acquisitions and development. As I have said before our strategy is to use our line of credit for only short term needs and only in limited amounts. I’m pleased to say that we have a zero balance on our line of credit as of June 30th and a cash balance of $118 million. We continue to look at acquisitions, development and capital opportunities to reinvest this cash. As I’m sure you saw on July 18th we redeemed the remaining amount of our series end preferred shares that had a coupon of ten in a quarter percent for $109 million. This transaction will have a positive effect on FFO and on our capital strategy management. Our debt maturities for the remainder of 2011 is very manageable $312 million. We will fund these maturities through the use of proceeds from asset sales or refinancing with unsecured bonds. We continue to stay focused on maintaining and improving our balance sheet, our fixed charge coverage ratio has improved to 1.82 times from 1.79 times at year end 2010. Net debt to EBITDA improved to 6.67 times from 7.31 times at year end while debt to gross assets remained at 46%. I’m also pleased to report that this week Moody’s Investor Service reaffirmed our Baa2 rating and improved our outlook to stable. This is a stronger question of the progress we have made on our capital strategy. We will have additional opportunities to improve our balance sheet as we continue to execute on our operating in assets strategies. And with that I’ll turn it back over to Denny.
Dennis Oklak: Thanks Christie. As I mentioned in my opening remarks there is still a tremendous amount of uncertainty in this economy. While there was a slowdown across many of the drivers of real estate demand during the first half of the year our portfolio held up nicely and we even increased occupancy and produced solid operating results. We are pleased with the results so far for 2011 and are optimistic about the remainder of the year. We continue to produce positive results in all three components of our strategy, operations, asset and capital. We remain disciplined on our approach and are progressing nicely and on schedule to ultimately reposition our portfolio to 60% bulk industrial, 25% suburban office and 15% medical office. We have the balance sheet to be able to quickly react to opportunities and we’ll continue to strengthen it over time. Finally, with the solid first six months of the year, we reaffirm our core FFO guidance of $1.06 to $1.18 per share for 2011. Thank you again for joining us today and now we’ll open it up for questions.
Operator: (Operator Instructions) Our first question will come from the line of Jamie Feldman, Bank of America. Please go ahead.
James Feldman: Thank you. I mean I guess Denny starting out with your discussion of kind of macro themes and it sounds like in your – the first thing you said on the call is that they are having an impact but they’re offset by others. But then as you spoke more it sounded like you’re really not seeing an impact. So, kind of what are you watching to see where you can start to see some push-back given what we’re seeing in the economy? What are kind of the signs of things going down that you’re watching for?
Dennis Oklak: Well Jamie, what we – the main thing we really watch is just our overall leasing activity. We’re pretty much on top of that. We get a weekly report of all of the prospects at our major vacancies. We review that monthly with our senior team and more often on an individual market basis. So that’s really what is I think initial indicator to us whether activity is really slowing down, how does our prospect list look or how are our – the activity for our in-house leasing bodes. And again so far we have to say that it’s held up pretty well. Our occupancy continues to tick up a little bit, as I mentioned we signed a big lease down in Nashville in July, so right now we haven’t seen any kind of significant impact in my opinion on a downward trend in leasing from the things that have been going in the economy over the last 60 days. So I think that’s a good sign. And truthfully the summer is generally a little bit slower time for us and we probably expect to August to be a little bit slow, but so far so good. The other time that I may just in general is on the development side, it really is slow as we’ve seen and it continues to be, there is more discussions going on now, but it’s just really hard to get folks to convert and get signed get project started. But I think we’ve got some opportunity to do a few things in the second half of the year.
James Feldman: Okay and then I guess focusing on medical office business; do you see any kind of fallout from the budget issues in Washington and just funding to that part of the economy?
Christie Kelly: No actually we’re seeing – we are starting to feel more optimistic about that piece of the business on the development side. Some of the larger hospital systems are beginning to free-up more funds for new development type projects and I’d just call expansion projects. We’ve seen a couple announced recently with some of our major clients. So I think again that business is going to start picking up I think in the second half of the year.
James Feldman: Okay and then finally can you tell us the yields and the acquisitions you completed during the quarter or may be your projected IRRs?
Christie Kelly: Well I think I disclosed the yields in our supplemental package and overall we were at about an average 6.78 – 6.77 I guess average yield at the end of the second quarter. As I mentioned that included about a third of that I would say was from our California acquisition, which was in the low five cap rate range.
James Feldman: Okay. All right, thank you.
Christie Kelly: Thanks, Jamie.
Operator: Next question comes from the line of Ki Bin Kim with Macquarie. Please go ahead.
Ki Bin Kim: I just want to follow up on that last statement. Was it you said you bought Lynwood in California for a low five cap rate? When you do – when you buy an asset like that what kind of growth assumption there are you putting in there and are the leases coming due pretty quickly?
Christie Kelly: That was as I said the single tenant that’s the only tenant that’s ever been in that building. The buildings, I think maybe eight or nine years old maybe a little over than that. And their lease goes for about another three years. It has some bumps. We think today they are in probably 10% or 15% below market rents.
Ki Bin Kim: Okay. And going back to your kind of tenant retention ratio it fall up quite a bit and 2.1 million square feet vacated typically where those tenants going or are they just kind of closing off shop or downsizing?
Christie Kelly: Well first of all I would say again this goes back to what we said at the beginning of the year that we had some larger industrial tenants that were leaving during the first half of the year, lot of those were in the second quarter. And most of those, some of those folks I think left because of consolidation and some relocation. There probably was a little bit of downsizing in that but mostly it was either relocation. And just for example, we had a 600,000 square foot tenant down in Atlanta who basically terminated their lease and, because they needed a larger building and they ended up moving into a larger basically build a suite for them. So, we have 600,000 square feet go dark there in May, but we signed the lease in June for 407,000 to 600,000.
Ki Bin Kim: Okay. And the last question. On your development yield on page, it looks like the yields in 2000 are your projects that you finished in 2010 the expected yields went down maybe 30 bps 30 or 40 bps I was wondering if you provide a little color on that?
Christie Kelly: Yeah. Well we did – we have kind of not a whole lot go into service in the second quarter. And I think it was really just couple of projects and mostly is medical office projects so I think went into service. I think, I don’t think there is anything specific there keep an I think it’s just timing. We’re still I would say on the new development side in the industrial business even though we haven’t started one here for a while, I think the yields are pretty much where we have been saying probably in the 7% in three quarters to 8.5% range on industrial build a suite type projects. Again and most of the medical office were in the somewhere between 8% and 9% depending on size the location as well as quality of the hospital system. Again most of the development we’re doing now is on the medical office side of the business and those projects are really with very highly rated tenant customers in the hospital. So, those yields are probably a little bit lower than we’ve historically seen this.....
Ki Bin Kim: All right.
Christie Kelly: Hesitant tenant mix.
Ki Bin Kim: Okay, thanks. And in your opening remarks you mentioned that you think, industrial cap rates and on the average material area was about 66.5. Can you give one for office where you think those cap rates are?
Christie Kelly: Well, we haven’t seen a whole lot office trades to be honest with you. So I would still say, in most of our markets, I think there is probably been some trade in some of the major markets, one where we’ve seen some trade to be in Washington DC where we’ve seen some step trade actually on the office side in the 6% to 6.5% cap rate range. And we’ve sold some stuff in probably 8% to 8.5% cap rate range. But, they are mostly one-off buildings here, so there is just isn’t a whole lot trading there right now.
Ki Bin Kim: Okay, thank you.
Christie Kelly: Thanks.
Operator: And our next question comes from the line of Michael Bilerman with Citi. Please go ahead.
Josh Attie: Hi, thanks its Josh Attie with Michael. How much of the positive same-store growth that you reported, do you think is being driven by the lease up of some of the developments that were delivered late in the last cycle and had some vacancy or maybe in other way to ask it. You identified 40 million NOI opportunity last year for leasing up those assets. How much of that is still an opportunity versus how much of that has been realized.
Dennis Oklak: Well let me address the first part and I think Christie can help on the second part. But it’s really not much again when you think about it Michael, the way we do it is once the project either, what we call stabilize which is over 90% leased or its one year. It really goes into that population. So, most of those projects have been in here for quite a long time now that population has really gotten leased up pretty well and so I would say that the growth from – there certainly is just a little bit in there from the lease up and then the newly developed properties. But I would say it’s a very, very minor piece in that growth right now.
Christie Kelly: And just to answer your question, one of the things that we do, this is a matter of routine track. The progress on that population is building and specifically the rent on the leases that have been executed for that population building now is in the tune of $17 million. So we are making some good progress.
Operator: And your next question comes from the line of Steven Frankel, Green Street Advisors. Please go ahead.
Steven Frankel: Couple of questions regarding the asset repositioning strategy, first of all, it’s the building you guys bought in Lynwood where you peck replacement cost and where do you peck land value more specifically for that building?
Dennis Oklak: We think replacement cost, Steve we didn’t really look at the land value specifically because as you know that’s pretty an infill market there. But we paid replacement cost there right around probably 120 bucks a foot something like that because you said its infill and same closer to the board.
Steven Frankel: Okay. In your starting as you said like a low-5 type yield from what you were saying earlier it sounds like the tenant is paying a below market rent. What do you think the type of higher R you are going to achieve on that asset and how does that compare with other deals that you think we might see you guys do in South California going forward?
Christie Kelly: Well, we don’t really look at them as much on an IRR basis because then you have to just make all kinds of assumptions about your ultimate time period you’re going to hold and your disposition cap rates but again we think that’s a low five yield growing up into the high five low sixes as a tenant rolls. We have seen some good rental rate increases out there in Southern California. Again what we said about Southern California is it’s a market we want to be in. We are going to be part of that market, it’s not going to be a huge number for us as we go forward but we think it’s great as part of that repositioning strategy as we move through some of the office dispositions to be active in that market and own some assets. And then I think going forward again that market fluctuate a little bit over the last couple of years but when you look at what where the yields have been I think they’ve been into that in that 5% to 6% range for a quite a bit of the time over the last four, five years.
Steven Frankel: Great. And then just a question on the office dispositions as you guys know that the environment and I guess the financing environment it sounds like from your guys perception it’s coming back which should help with the disposition strategy going forward but the CMBS market secured financing market from live companies and others has bounced back quite a bit year-to-date. What do you think going to take for the volume to get there just more equity chasing suburban office versus industrial or something else?
Christie Kelly: Yeah I think there is a couple of things that we are seeing I think there is probably two different types of dispositions we’ll do there. One is smaller runoff single asset or two or three asset portfolios and we’re seeing quite a fair amount of interest in that on both the equity side and the debt side right now. The banks were getting back in to the lending business on that, so I think and those probably are going to be part of the CMBS market really Steve they will be just bank loans, and we are seeing activity pickup. And then I think the other area there we would be doing some kind of a larger portfolio may be even a multi-city portfolio and that would be contingent I think on some type of large CMBS financing and as you’ve said that market has come back, I think recently there might have been a couple of blips, but I think it’s still in pretty good shape right now. And I think there is equity beginning to look at some of those larger portfolios and I think I had mentioned this back in June and we talk to everybody as may read. I think there may be some opportunity for a larger portfolio sales week as the market improves.
Steven Frankel: Great thank you.
Operator: Next question you comes from the line of Sloan Bohlen, Goldman Sachs. Please go ahead.
Sloan Bohlen: Hi, still one question for Denny, you had some comments about some pretty good demand for big space within bulk industrial, I’m wondering if you can may be reconcile with I guess the slow activity in the build-to-suit or respective element area, it is a matter of those bigger tenants being opportunistic in terms of moving around for space and may be you can just elaborate on that?
Dennis Oklak: Yeah I think Sloan what we are seeing is the activity that we’ve seen has been strong as it has been in what I would call the larger spaces, anywhere from 200,000 to 600,000 or 800,000 even and today I think some of those larger tenants are taking advantage of the vacancies in the market and the lower rental rates potentially to do some consolidation today or even grow. We’re seeing growth in number of our clients. So I do think that’s the big part of it. Now when you look around now in many markets, a lot of that large book space that was available and a lot of which was built right at the end of the last cycle has been leased up. So there is number of markets a lack of that big space so that’s why I’m saying I think in a couple of markets, we’ll start to see some spec development. I also think which is typical from this point in the cycle coming out of the downturn you will see some of these distribution companies focus on build-to-suit opportunities because there isn’t that availability of the larger spaces. And we’re seeing that really again from a discussion point of view but it’s just hard to get everything done and signup.
Sloan Bohlen: Okay. And is there enough critical mass of that type of demand out there to start pushing rents even for smaller space across your portfolio?
Christie Kelly: I don’t think so to be honest with you. I think it’s still going to be a while before we see rents start to push and that was really the essence of my comment remarks. I think what we’ll see today is one when a customer does need a build-to-suit the yields will be reasonably good on those and by that I mean, in the 8 to 8.75 range on a bulk industrial building. But I think what was the real decision is going to be tough I think for developers once they start looking at the spec product today is what are the rental rates that are really out there in the market today and what kind of yield can they get on those development because I think it’s going to be pretty hard right now to pencil out spec development with today’s normal rates in almost any market and how far do you think the GAAP is if you know those rates needed.
Christie Kelly: I would say we’re probably 20% off.
Sloan Bohlen: Okay, okay that’s very helpful. Thank you, guys.
Operator: Our next question comes from the line of Ross Nussbaum with UBS. Please go ahead.
Ross Nussbaum: Hi everybody good afternoon.
Christie Kelly: Hi Ross.
Ross Nussbaum: Two questions first on the portfolio mix what is your timeline at this point for getting to your idea of portfolio mix?
Christie Kelly: Well the timeline is we’ve laid out has been through 2013 and I think obviously we’ve made pretty good progress and we’re probably ahead of that phase. But I – I see it really just depends on the market activity that’s available out there, and where we can be successful mostly on the acquisition and dispositions are here that’s that truly been work a lot of our repositioning has been, the medical office will probably continue to be through mostly through new development opportunities as that pipeline continues to be solid in growth. Right now I think the industrial increase will be more through the acquisition side and obviously dispositions us some of its further office assets. So I think it really just depends on how the market is as I’ve said it’s got a little bit tighter, the bulk industrial side. So we’ve done a few deals, but we’ve slowed down some there just because of where pricing is. But again ebbs and flows. And then I also think there is some up again more interest and more activity on the suburban office side now than we’ve seen in quite a while, so we’re still hoping to be able to get to those percentages optimistically before 2013, but again I think we’re very comfortable of being – get being – able to get to those no later than 2013.
Ross Nussbaum: So, if I wanted to put some dollar terms around it, what from a disposition standpoint over the next 24, 30 months or so would you need to be selling on suburban office to get to these numbers?
Dennis Oklak: We’ve got to do about – it’s kind of between $1 billion and $1.2 billion of suburban office dispositions and roughly a like amount of maybe a little bit less of industrial acquisitions or development and then about 400 – $300 million to $500 million let’s say of medical office acquisitions or development over that 24-month period.
Ross Nussbaum: Okay. Second topic, your earnings guidance, if I heard correctly you reiterated your guidance of – it was $1.06 to $1.18...
Dennis Oklak: Yes.
Ross Nussbaum: Based on the first half run rate, your – you’d be pushing into the upper end of that range. What would take you to the lower end? In other words, what gets that number that you reported this quarter meaningfully lower?
Dennis Oklak: Well, I think if you look at it what we do is give you guidance at the beginning of the year in a range that we think will be for the year and obviously when you’re given guidance it’s early in the year. There are a lot of variables as we mentioned earlier this year with those industrial expirations that we have. And then we just have a tendency really not to change it during the year at least until later in the year when we feel like we can maybe narrow that guidance and give you a little bit more clue, so we’re comfortable that we’re within the guidance. If you look at the range of estimates that we provide and we tried at the beginning of the year. We are probably trending towards the optimistic range in most of those numbers. But again, with just all the uncertainty out there we just did really feel like there was a need to change it this quarter at all and we’re very comfortable with where we are.
Ross Nussbaum: Is it fair to say that there is nothing on the transactional front or the fundamental front that would cause you run rate to be falling 14% I mean, we’d have to fall 14% sort of and into the back half of the year to get to that lower end – the bottom-end of the range, it doesn’t seem like it’s going to happen?
Christie Kelly: I would say that as Denny mentioned Ross, that we are just not in a practice of changing our guidance. I mean, we’ve been following that practice for many years now. And, we’re going to continue to do that.
Ross Nussbaum: If I’m trying to narrow it for you?
Christie Kelly: (inaudible) understand. And we’ve got strong momentum.
Ross Nussbaum: Thanks a lot.
Operator: Next question comes from the line of Vincent Chao, Deutsche Bank. Please go ahead.
Vincent Chao: Hi everyone. Just had a question regarding your comment about the leases rolling now that were in the, signing the 2006-2007 period, can you just give us a sense of what percentage of the leases that were renewed this quarter were from that vintage and what’s left in the overall portfolio?
Christie Kelly: Yes, sure. I think I would say probably 80% of those leases that rolled this quarter were in that 2006-2007 range, particularly on the industrial side. And, when you look at our overall portfolio it’s; probably we have a very balanced lease exploration schedule. And so we run between 10%and 12% may be 8% to 12% of leases expiring each year. So if you look back there was probably not a whole lot of our portfolio that’s left out there in those years because what matured has rolled and we may have a little bit in the second half of this year and a little headed in the next year but it’s probably less than 50% of our portfolio that were in those years.
Vincent Chao: And because I am just trying to understand it, it sounds like you expect this leasing to be – pricing to be challenged through the rest of the year, but if that peak year leases are kind of mostly down at this point, I guess, when would you expect that spread to get more positive?
Dennis Oklak: Well, I think we’ve said particularly on the industrial side, I think it’s going to be negative for the rest of this year. If – there is really two things that have to happen again as you’re intermitting here the – it depends on when the lease was signed and its rolling now. So as you get out in the morning ‘08 leases signed, and late ‘07 early ‘08 those were rental rates raised already starting to drop then. And then again going forward rental rates are going to start going up. Again our sense is as the bulk product gets continues to get – we have higher occupancy in which when you look through our portfolio and the geographic concentration almost all of our markets in the industrial side now are above the 90%, just two or three, I think out there that aren’t. So we are really in good shape and I think as that holds for a while that occupancy holds, we will start to see some upward trends on the brand from where we are today. And that’s probably going to happen in 2012.
Vincent Chao: Okay, thanks.
Operator: Next question comes from the line of David Rodgers with RBC. Please go ahead.
Michael Carroll: Hi, its Mike Carroll here. Can you add a little color around your current land holding, how sites could support industrial development and where are those sites concentrated at?
Christie Kelly: Well we’ve really got a land throughout the system, we’ve got industrial land and basically all of our markets, I would say with – with the exception of South Florida. And obviously have a little bit of office land, but over 70% of the land that we have today available for future development in on the industrial side. So, today on the industrial square footage, we can do over 40 million square feet of new development on the land that we own. And lot of that’s concentrated in some of our major Midwest distribution markets we got in Indianapolis and Columbus and Chicago. So, we really got land available all over for industrial development.
Michael Carroll: Okay, and then on the transaction side, do you see any large portfolios on the market that you be interested in buying are mostly single assets?
Christie Kelly: No we’ve seen some larger portfolios be marketed so far this year in the first six months. And a couple of comments on those, I would say most of those that we saw were of mixed quality on the industrial side. And by that I mean there was really good assets and good markets and then there was – those were combined with some markets you wouldn’t want to be in and some lower quality assets. So what’s typically happening these days is the sellers in the seller’s brokers world solicit offers on all or any pieces in parts of those larger portfolios. So we have on few of those larger portfolios, we made some offers on pieces and parts that we would like that fit in strategically with us and/or the quality of the assets that we want to own, but interestingly enough so far on those portfolios there is been at least one bidder for the entire portfolio and most of the time obviously the seller would like to sell to a single buyer or possible just makes transaction easier, so we have seen some of those transactions trade in whole and we just weren’t interested in the whole package. So we have been successful on those so far.
Michael Carroll: Okay. Thank you.
Operator: And our next question comes from the line of Brendan Maiorana with Wells Fargo. Please go ahead.
Brendan Maiorana: Thanks good afternoon. Hi guys, so I just want to circle back to California and just get a better understanding of what your outlook is for that market over the next several years given, you did the one transaction, it’s relatively modest in size and I think its $38 million low finds cap rate, you kind of – I think you closed down the office you had out there a few years ago, took a charge, but now you are back in that market, what do you think is the market opportunity, what you think you can invest in there over the next few years and what are kind of the returns that you are expect to get?
Christie Kelly: Yes well first of all you’re right that’s the first asset that we’ve really acquired. We do have one land development side out there in Tino that we own for several years and we can do about 400,000 square feet on it at the appropriate time. And we have made a lot of offers, I would say over the last 12 to 18 months out in Southern California and been close on acquiring some other assets but that’s – this was our first successful bid. Again it’s just key distribution market for the country and it’s a place that Duke Reality has a one of the larger distribution companies in the country should be we believe. And I think but that doesn’t mean it’s going to be 20% of our portfolio or anything like that it’s not going to be. We’ve said kind of in the $200 million to $300 million range in total over time. I think cap rates are probably bottomed out a little bit. They may come back a little bit as there is a little less money chase and stuff out there. But again if you look back historically into cap rates in Southern California, they fluctuate a little bit but they don’t fluctuate too far off of where they are today. And it’s really a matter of how people are perceiving where the rents are. I mean if the rents are – if people are perceiving the rents are going to be growing than the cap rates go down. They think rents were sort of topped out and the cap rates go back up which is very logical how that works. And so we’ve seen that again through this cycle. But we’re going to keep looking at opportunities out there. And again I think its maybe 3% to 5% of our overall portfolio or something like that ultimately.
Brendan Maiorana: I mean it’s, it’s understandable that I guess, you want to be in that market given the importance to the overall distribution market nationally but $200 million to $300 million on a $7 billion portfolio doesn’t really do that much. So is it worth it kind of paying a 5 cap and for pricing that tends to be pretty strong out there all the time relative to the other markets where you can more scale of returns seems to be a little bit higher?
Christie Kelly: Well it is worth it for us because what having a presence they’re does is it drives more business your way. We are working with our major customers and they have an opportunity in Southern California. You want them to be thinking about you particularly on the development side. And they’re not really going to think about you unless you have some kind of a presence there. So I think long-term it’s very important for us to be there.
Brendan Maiorana: Okay. Fair enough and then I just had a couple of more specific questions probably for Christie. Christie the dispositions that you provide the disposition cap rates that you provide I think are stabilized without giving kind of specific going out cap rates or the actual NOI loss that you’re getting or the yield going out the door is that higher or lower than the stabilized cap rates that you’re reporting?
Christie Kelly: It’s lower Brendan.
Brendan Maiorana: Okay. So the, you’re effectively marking the occupancy opportunity at a stabilized number and these assets might have occupancy lower?
Christie Kelly: That’s correct.
Brendan Maiorana: Okay. That’s helpful. And then in terms of the contractor fee line item which I think the contractor fees you guys have mentioned it typically 15 million to 25 million sort of on a normalized run rate but I think also in that line item now you’re including fees that you get for managing the CVRT venture and some of the other joint ventures. Do you have, can you give us a sense of what the other fees of even kind of the contractor revenue and the stuff that BRAC and Baylor that’s going to roll off what are those other fees are contributing today?
Christie Kelly: The other fees Brendan are a smaller portion but as a result of CVRT it’s probably in the order of magnitude of 15%.
Brendan Maiorana: Okay. 15%, okay. Okay. Okay, I think that’s all. All right. Thank you.
Christie Kelly: Thanks.
Dennis Oklak: Thanks Brendan.
Operator: (Operator Instructions) And allowing a few moments for people to queue up, they have no further questions in queue.
Dennis Oklak: Okay, thank you.
Christie Kelly: Thanks everybody.
Operator: It appears that we do not have any questions. Does that conclude your conference? Okay, ladies and gentlemen that does conclude our conference for today. I want to thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.